Operator: Good morning and welcome to the Kimco's First Quarter 2016 Earnings Conference Call. All parties will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I now would like to turn the conference over to Mr. David Bujnicki. Mr. Bujnicki, please go ahead.
David Bujnicki: Good morning and thank you all for joining Kimco's first quarter 2016 earnings call. With me on the call this morning is Conor Flynn, President and Chief Executive Officer; and Glenn Cohen, CFO. In addition, other members of our executive team are also available to address questions at the conclusion of our prepared remarks; including Milton Cooper, our Executive Chairman; Dave Jamieson, Executive Vice President of Asset Management and Operations; Ross Cooper, Executive Vice President and Chief Investment Officer; and Ray Edwards, Vice President who oversees our Retailer Services Business. As a reminder, statements made during the course of this call may be deemed forward-looking. It is important to note that the Company's actual results could differ materially from those projected in such forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer the Company's SEC filings that address such factors. During this presentation management may make reference to certain non-GAAP financial measures that we believe help investors understand Kimco's operating results. Examples include, but are not limited to, funds from operations and net operating income. Reconciliations of these non-GAAP financial measures are available on our website. With that, I'll turn the call over to Conor.
Conor Flynn: Thanks, Dave and good morning, everyone. Today we plan to keep our prepared remarks short and sweet. We are firing on all cylinders as we drive towards achieving our 20/20 vision and focus on long term shareholder value. The first quarter highlights the execution of all aspects of our strategy as we focus less on short term earnings and more on creating long term net asset value. Our disposition and acquisition activity continues to produce a higher quality portfolio because higher quality is reflected in our leasing production as we continue to attract premier tenants at higher ends. Our redevelopment and development activity continues to create value and opportunity unlocking the highest and best use of the real estate, and we do all these with a cautious and watchful eye on our balance sheet at our cost of capital. Now for some details; in the first quarter we continue to execute on our disposition strategy by closing on $323 million of dispositions in Canada and $114 million of dispositions in the U.S. The blended average cap rate was 6.9% in the first quarter and quality buyers ranging from public reads, private reads, local public real estate groups, high network individuals, international buyers and trade buyers all continue to call through our disposition portfolio. We are in the ninth inning of our transformation, and with the majority of our Canadian portfolio under contract and the progress to date on our U.S. dispositions, we are on pace to hit our target of $400 million to $475 million of dispositions in the U.S. and $425 million to $500 million in Canada by year ends and complete the transformation of the portfolio. Turning to acquisitions; our first quarter concluded with limited volume reflecting the competitiveness in our target markets. After quarter end we did reach agreement to purchase our JV partners interest in Oakwood Plaza in the adjacent Dania Pointe development site. These sites combined to offer over two miles of frontage along I-95 and the Fort Lauderdale, Miami corridor. Oakwood is 100% occupied but reflects what we look for in our target markets, irreplaceable real estate with blow market reps, significant sales volumes and future redevelopment opportunity. Dania is the adjacent development site that we now control and are happy to take this opportunity to announce the ground lease with Costco to anchor the first base and take off the pre-leasing. Both Oakwood and Dania are key building blocks to our 20/20 vision creating value on larger assets and markets with high various entry. Oakwood is now our number two NOI producer and upon stabilization Dania will be the number one NOI contributor in the entire portfolio. The strong leasing demand for quality real estate highlights the positive supply and demand in balance that the open air sector is currently enjoying. Keeping occupancy steady at 95.8% over prior quarter validates the portfolio quality and the quality of our leasing team as we typically experience an earlier dip due to post holiday closings. Retailer demands did not change during the stock market crash in the first quarter, and we continue this demand across all square footage categories. The volume of new deals this quarter included big-box retailers, grocery stores and off-price retailers, all enhancing the merchandising mix and improving net asset value. Target, Whole Foods, Giant and Traders Joe's are just a few examples that executed a lease this quarter that positively impact NAV. A high number of our new deal this quarter including the Target and Whole Foods deals are taking currently occupied space, so while we will have a short-term hit in same site NOI, and do not pick up any occupancy. We do pick up material in NAV. In addition, these quality times create a halo effect in our centers which allow Kimco to achieve outsize growth from the surrounding retail. New leases were signed at an average base rent of $21 a foot reflecting the embedded mark-to-market opportunities when compared to our current average base rent. Kimco's average base rent is now $14.67, a 4.8% increase over Q1 2015 and 27.9% over Q1 in 2010. While we are currently enjoying a 38-year low in supply, we are monitoring the shadow supplies high flying closely. Recent bankruptcies and announced foreclosings in addition to pending mergers will be the primary driver of increased supply in the short run for both malls and open air centers. This is not new to our sector. What is new is that at Kimco today are transformed high quality portfolio makes us more ready and better prepared for these situations that is why we are approaching the Sports Authority liquidation with cautious optimism. Preliminary indications suggest that we will be a significant demand for boxes if and when they revert back to us. Redevelopments completed in the first quarter will deliver incremental NOI of $2.3 million with an ROI of 11.5%. Redevelopment remains the best use of our capital, and Kimco's billion dollar pipeline continues to cycle more projects from the entitlement stage to the active pipeline as additional opportunities are constantly being discovered within the existing portfolio. The amount of raw material in our portfolio and the focus on value creation has given rise to a shadow pipeline of additional redevelopment projects that account for roughly $2 billion of future projects. Acting upon the embedded opportunity will serve our long term shareholders by adding value to best in class properties. Turning to development. We recently hit two major milestones. By securing the target deal at our Grand Parkway Development in Texas, and today announcing the Costco ground lease at our Dania Development Projects in Florida. These anchors have jump started the pre-leasing for the first bases of both projects. Due to the lack of new supply and the strong demand from open air retailers. We continue to aggressively pre-lease our strategic development projects. Each development site has a staging plan in place to better monitor and insure that our investment remains to our costing capital and to provide off ramps to keep maximum flexibility. In closing, we continue to march toward our 20/20 vision of being a U.S. focus tree with large pockets of concentration and high barrier to entry markets. The team is working overtime to unlock value at the property level through lease up and mark-to-market opportunities. Continuing to extend and deliver on the redevelopment pipeline and executing on the strategic development pipeline. All well-positioned in the balance sheet to be in a position that's right now and for the next cycle. Glenn will now take you through the details of the first quarter.
Glenn Cohen: Thanks, Conor, and good morning. 2016 is also a solid start. We continue to execute on all fronts, listing, dispositions, redevelopment and development activity as part of the strengthening of our balance sheet metrics. These are the primary ingredients needed to achieve our 20/20 vision. Headline FFO per diluted share which represents the official navy definition was $0.38, up from $0.37 last year and higher than first call consensus. The improved performance is attributable to a 5.2% increase in U.S. net operating income which was substantially offset by the reduction in NOI from the Canadian dispositions. Lower G&A expense and lower financing cost attributable to the redemption of the 6.9% preferred stock last year also contributed to the growth. Included in the headline result is a profit participation from the sale of a Canadian preferred equity investment of $5.5 million. FFO is adjusted or recurring FFO which excluded non-operating impairments and transactional income and expense was $0.37 per diluted share for the first quarter up from $0.36 last year, 2.8% increase. We accomplished this growth level despite the $0.03 per share diluted impact from our portfolio transformation. The portfolio transformation includes the substantial disposition of assets in Latin America and in Canada totaling $900 million and $600 million of U.S. dispositions in just the last 12 months. The diluted impact was more than offset with the reduced financing cost and $1.4 billion of acquisitions of high quality assets in our key markets. Many of the acquisitions were sourced from our joint venture programs. Our portfolio operating team delivered solid first quarter results maintaining our anchor expend and occupancy at 98.2% and the increasing small shops placed by 40 basis points from the year ago to 88.6%. We remain on target for small shop occupancy to reach 90% by year end. We continue to deliver strong leasing spreads of 19.1% renew leases, up 6.3% renewals and options and 7.5% combined. U.S. same site NOI growth is 1.5% and includes a credit loss reserve of $3.2 million or 140 basis points related to the bankruptcy filing by Sports Authority. This reserve demand includes 100% of all prepetition amounts and $811,000 of grant for March which remains unchanged. Even with the short term impact from Sports Authority, we remain on track and reaffirm our full year U.S. same site and a wide guidance range of an increase of 2.5% to 3.5%. Additionally, in an effort to giving analyst and investor community further information for comparability purposes, we have included in our supplemental package the same site disclosures of strength line rent adjustments, lease termination fees and amortization of above trends. As part of our 20/20 vision, we are laser focused on further improving our debt metrics with a target of five to five and a half times for consolidated net debts or recurring EBITDA and a fixed charge coverage of three times plus. In the last 12 months we have reduced our net debt by $560 million from $5.5 billion to $4.94 billion on March 31. At the end of the first quarter, net debts or recurring EBITDA is 5.9 times down from 6.6 times a year ago and fixed charge coverage came in at 3.2 times. We retain over $400 million of maturing debts during the first quarter and we paid an additional $117 million of mortgage set in April, leaving us with just about $250 million in remaining consolidated maturities for the balance of the year. A portion of the debit payment was accomplished with $138.5 million of proceeds raised from the issuance of 4.96 million shares of common equity through an ATM program, at a weighted average offering price of $28.20 per share during March and April. At another data point, at the end of the first quarter, our total debt to total market capitalization was down to 28%, the lowest level in the past eight years. Based on the solid first quarter results, we are reaffirming our headline FFO per share guidance range of $1.54 to $1.62. Please keep in mind that the bulk of the transactional income to 2016 is anticipated to occur late in the fourth quarter. We were also reaffirming our FFO at adjusted per share values range of $1.48 to $1.52 in the midpoint of $1.50 per share, and each of our operating guidance assumptions. And with that we'd be happy to answer your questions.
Conor Flynn: We're ready to move on to the Q&A portion of the call. Due to the large volume of participants in the queue, we request a one question limit with an appropriate follow up. This will provide all callers an opportunity to speak with management. If you have additional questions, you're more than welcome to rejoin the queue. Keith, you may take our first caller.
Operator: [Operator Instructions] And the first question comes from Michael [ph] with Citi.
Unidentified Analyst: Conor, I was wondering if you can just spend some time on Oakwood and Dania just from the perspective of who approached who, whether it was you or CPP, but also how the development was effectively valued versus going forward with it as a partnership? And then I get your point in terms of wanting to have high pockets of concentration, but it would seem that between Oakwood and Dania who would rank number one and number two. That would be a very large concentration in a very concentrated location. So maybe you can just walk through some of the comfort that you got through all that.
Conor Flynn: Sure, happy to. Oakwood and Dania, we've been very proactive with our partners. As you know one of our strategies is to really own more of our assets 100% and give us total control of our destiny. And this especially was true with Oakwood and Dania. Oakwood is where we have an office, so we have a physical presence there, and we realize that with Oakwood and Dania we have a unique opportunity to really enhance the value of both assets of what we're trying to do both at Oakwood and at Dania. So we've been proactive with all of our partners, and this one was opportunistic for us to strike and really take CPP out of the transaction early on in the stage. So we were able to by CPP out of the development site at their bases which means that was extremely opportunistic, and now that we have Costco fully executed we think that it's just the beginning of a strong pre-leasing effort for the first phase. And the second phase now that we have complete control, due to the ability to really take a step back and look at what's the highest and best use for the property. If we want to sell off parcels, if we want to self-develop more parcels or if we want to do a higher density. We have that luxury now which before we probably have the inability to do so because of the partnerships. So we feel like it gives us more flexibility and it continues to allow us focus on larger assets with significant both development and redevelopment opportunity. So that was a little bit of a history there, and in terms of the concentration, you're right that's going to be in terms of our size that number one and number two producing properties in the portfolio. But we also have tremendous pockets of concentration in California, in New York and with future redevelopments at West Lake and as well as some of our larger assets. I think that there will be large assets that may challenge the number one and number two distinction that we've given Dania and Oakwood. And we always want to love to see and make sure that we're diversified accordingly. So if it becomes too concentrated we'll have hopefully the luxury of what would be an alternative ideas there of what we should do.
Unidentified Analyst: And what percentage would Dania and Oakwood combine in terms of when you're talking number one and number two, what would be the concentration?
Glenn Cohen: Hi, Michael, it's Glenn. The total would probably be no more than 3%.
Unidentified Analyst: Combined.
Glenn Cohen: Combined, yes.
Unidentified Analyst: All right. Thank you.
Operator: Thank you, and the next question comes from Craig Schmidt with Bank of America.
Craig Schmidt: Were all or merely all of the Sports Authority in the same store pool without redevelopment bucket?
Conor Flynn: Yes.
Craig Schmidt: Okay, and if you were to get, let's say just assume 25 of the Sports Authorities back, how long do you think it would take just maybe fill half of those stores?
Conor Flynn: Hi, Craig, it's Conor. Yes, I think that when you look at the, if you talk about half of the Sports Authority boxes, it will obviously be a case by case situation. But the one that we have really been handily marketing. We feel like we have a tremendous amount of interest on those boxes. So we have LOIs already in place on a number of them. So if you want to just take the 25% and cut it in half, it will probably take us probably another quarter or two to probably finalize the leases and get half of them fully executed. That being said, we're well aware of the interest levels of other sporting goods operators in the real estate and their lease hold positions. So we anticipate anywhere between during the auction process maybe 10 to 15 leases that maybe sold to their competitors.
Craig Schmidt: Great, thank you.
Operator: Thank you, and the next question comes from Jason White with Green Street Advisors.
Jason White: Hey, guys. Just a quick question on your non-cash rents. It looks like those jumped up quite a bit in 1Q. I mean incrementally, they are up in 4Q as well, but just year-over-year they're up quite a bit. Is there anything special in there?
Conor Flynn: Nothing's special. What happens is when a tenant leaves that had a blow market rent and they leave early you have to save the full amount into occupancy and we had that in one particular case, so $7 million. It's really what it is; it's nothing more than there.
Jason White: Got you. And can you just walk through the A&P update in terms of the boxes that you got back and where you're at in releasing those and actually turning the keys back over to the tenants to pay rent?
Conor Flynn : Yes, absolutely. We have four A&P boxes left to lease off. One of them in Staten Island is a large scale redevelopment highland plaza. We're going to through the user process right now to add over 100,000 square feet additional density. We haven't executed lease still at the full line grocer but we can't yet disclose who it is because we're still going through the entitlement process. So not going to be a 2017 redevelopment. That's very large in scale. So we've been pre-leasing that but we have yet to disclose it as we go through the entitlements. Home Dell in New Jersey is another one where we have LOIs going with two potential specialty grocers that are bidding a portion of the space as well as the best in class off price retailers to co-tenant with them to split that box. A third one in Staten Island which is really the last piece. It's up Richmond, its redevelopment, and that's where we did the large target redevelopment and this was the last phase. We have guild approved at REC committees with retailers to split them up. One for at best in class specialty growth certainly half of it and another best in class of price user to sync the other half. The final A&P store is actually under contract to be sold to an end user. They came and approached us to purchase the asset and because of the end user is able to really pay a significant price so we're under contract there. It's probably should be closing next quarter.
Jason White: Great, thank you.
Operator: Thank you, and the next question comes from Paul Morgan with Canaccord.
Paul Morgan: Hi, good morning. Just a little bit more on Sports Authority, I guess. Do you have an update on kind of the mark-to-market across the 25 stores on average, and I understand what you said about the half of those are just directly sold to competitors, but [ph] number anyway. And then for the ones you do get back, do you envision demising spaces or the people you have kind of lined up preliminary taking it as is and are there any kind of retail segments that are sort of most interested in that size box for you guys right now?
Conor Flynn: Yes, the mark-to-market overall is around 5% to 10%. So we do have some upside depending on which stores we get back and obviously it depends site by site. On the releasing side of it, it's going to be again case by case scenario. We do have LOIs for users who take the whole box and also users to split. Many of the offsite concepts have multiple flags, so they could take the whole box and do multiple uses in that box as well. We also have the opportunity to add grocery to 15 of our 25 locations. So we've obviously pinned that down as a priority for us to see if we can create some value there as well, and we're working with some of the specialty grocers as well as traditional grocers to take those boxes. So again the average base rep for all 25 is under $15 a foot. These are all locations that we think are very much in demand and there's very little supply out there. So whether it's going to be a competitor that just buy the lease and has to live with the existing use clause or is an off price user or a grocery store, there's also some interest from some of the home improvement sector as well from, so they're smaller boxes. So we think we're, we have costs optimistic that we're going to be in good shape here for the lone mall.
Paul Morgan: Great. And you mentioned you reiterated your same store numbers despite it's not a Q1 impact there. Was this type of scenario incorporated maybe in the low end of the range already or there are other things that have been in the first four months kind of running ahead of plan that kind of led you to the decision?
Conor Flynn: We did have a portion of it in our budget for the first quarter. So we knew our first quarter was going to be challenged in terms of sale because we are dealing with the A&P, the ANS, as well as the reserve taken for Sports Authority. The lease up continues to be robust, the portfolio. When we look at our pipeline going out, not only in the future but also looking back. The second half of the year is definitely heavily weighted towards our same side NOI top. So that's really what gives us the optimism to keep the guidance unchanged.
Paul Morgan: Great, thanks.
Operator: Thank you, and the next question comes from Vincent Chao with Deutsche Bank.
Vincent Chao: Hey, good morning everyone. Just one more on Sports Authority. Are all 25 undergoing inventory liquidation sales today or completed that?
Conor Flynn: No, only six of the 25 are going through that process right now. So again it's a fluid situation. We obviously are marketing all the boxes but those are the only six that are going through that going out of business sale currently.
Vincent Chao: Got it. Thank you, and then just maybe beyond Sports Authority. In your opening comments you talked about shadow supply, and I was just curious it seems like bankruptcy season, Sports Authority now withstanding hasn't been all that bad. Just curious if you're seeing something different in terms of store closure expectations and future bankruptcy expectations with the balance of the year.
Conor Flynn: We would agree. We think this is a very healthy environment right now. If you look at the overall supply it's very, very well, and the bankruptcy filings that you've seen and the store closings are relatively modest especially when you compare year-over-year and when you look at our sector, we are starting to look at shadow supply a little bit differently. We're starting to look at some of the mall anchor boxes that are possibly coming back as part of our competitive set going forward. So we're being kind of sense it to be aware of it, but overall it's a very healthy environment. The new leases that are getting done today are what really the best in class operators. The off price retailers continue to add some accounts to this brand new, competition coming into that sector. The specialty grocers continue to want to add unit count. So we think that we continue to be in the sweet spot of retail, and it's a good time to get boxes back. There's no question about it.
Vincent Chao: Okay, thanks.
Operator: Thank you, and the next question comes from Jeremy Metz with UBS.
Unidentified Analyst: Hey, good morning guys. It's Ross [ph] here with Jeremy. I have two questions. The first is around the same store NOI in the U.S. excluding the redevelopments. You guys reported 0.2%, even if I add back the Sports Authority adjustment it gets back to 1.6%. I guess the question is what was going on in the quarter that made that U.S. ex-redit [ph] number? So I would have thought just contractual rent growth in the releasing spreads would have gotten that number to at least 2.5%?
Conor Flynn: It's really dealing with the A&P and that was still, that have not hit the flow. So if you look at the executed leases that we have for the pending deals we have working on the A&Ps, they won't start to flow until the second half of the year. So that's where we really start to see the uptick in the same side NOI. So that's really what were still dealing with but we have plenty of opportunity there, plenty of demands, so we think we'll be able to pick that back up and that's why we reinforced our guidance in same side NOI.
Unidentified Analyst: Got it. Okay, and then related question. I was looking at your tenant improvement, your TI spend and if I look at that and I divide your TI spend per year of lease, compare it to the new rents that you're getting, near the $20 rent, it looks like your TI is running at about 13% of the new annual rent. And I'm just curious have you guys think about that number, it smells, I haven't gone back and look to where it was five, ten years ago, it feels a little higher than where it would have been historically.
Conor Flynn: It's actually lower if you look at it sequentially. I mean, we always tend to take the task of trying to invest less in the retailer and more in the real estate. So if you look at a lot of our deals, they're ground leases, which will negatively impact our average space rent, but we think through the long term as the best economic deal. So we try and make the retailer invest inside this space and we do the improvements to the shopping center. So that is half of what we take for a long period of time, and we continue to look at that going forward.
Operator: Thank you, and the next question comes from Honda San Jose [ph].
Unidentified Analyst: Hey there, good morning. A question on the asset tails. Given your unit eight activity there, just curious if you see any impact of widening CNBS spreads on pricing or demand for the asset that you're selling. Are you getting any push back on pricing getting re-traded, and is there more interest or better pricing on a one off or many portfolio basis?
Ross Cooper: Sure, this is Ross. I'm happy to jump in. I think that when you look at sort of the transaction environment in general, we're definitely seeing continued strength in competition and aggressive pricing for the core product. Anything that has value add or achievable redevelopment or growth story there's still an immense amount of capital chasing those deals. When we look at our transactions on the disposition side, I'd say that the biggest challenge that we're finding is generating a deep buyer pool on some of the secondary market assets. The one that are really stable income streams with no growth and no grocer, I would say that we are seeing a little bit of a more shallow buyer pool. But I think that's sort of where the private writs. We're really controlling and being aggressive in that market. So to a certain extent I think we're missing those buyers, but that being said we are still getting enough of an option going where we've been able to achieve our cap rates and our objectives. So I think when you compare the cap rates disk order, as Conor mentioned, sort of blended we're still in the very high sixes, maybe low sevens in some cases on the dispositions. But we still feel very good about our ability to get that sold. We're not seeing any real material re-trading, obviously one off opportunities, you'll see them here and there but I don't think there's any major general trends. So we're optimistic that we'll continue to hit our targets for the rest of the year.
Unidentified Analyst: Seeing any portfolio demand and then any comment on change in cap rates and some of those secondary treasury markets locations?
Ross Cooper: We still believe that sorting one off is the best way to achieve our pricing. We have not seen any real premium for portfolios that have been out in the marketplace. I think when you look at the buyer pool; everybody's looking for a very specific type of asset or return threshold whether it's the location, geographics or the tenant profile. Buyers are looking for something very specific. So we've actually seen a bit of a discount for the portfolios that have been in the market. It obviously takes a little bit longer and there's a lot of blocking happening on the one off, but that's how we felt that tackling has been best for us. So we'll continue with that strategy.
Unidentified Analyst: Thank you.
Operator: Thank you, and the next question comes from Alexander Goldfarb with Sandler O'Neill.
Alexander Goldfarb: Good morning out there. If you could just talk a little bit more about equity issuance, it's obviously it's been several years since you guys last issue, and if we should expect more this year especially given Milton's focus on getting the company to an A minus. It would seem like given where you guys are relative to NAV that we're likely to see more equity issuance out of you guys to improve the credit standing?
Glenn Cohen: Hi, Alex, it's Glenn. The equity that we raise in the first quarter and the beginning part of the second quarter was really in line with what we had budgeted in terms of our overall capital plan. Now we continue to monitor the market and continue to watch what's happening with our disposition pipeline, watching the acquisition side of it. And again, we're very much monitoring very closely what happens with Albertson's, because Albertson's could be a very major component of capital that comes to us without causing any dilution at all. As a matter of fact it would be coming very free to transaction to us. So we are very focused as I mentioned on continuing to improve balance sheet metrics and bringing leverage down overtime, but we're going to do it methodically and opportunistically.
Alexander Goldfarb: So then, Glenn, as a follow up, on the transactional income where you guys said on the front of the call that it's late 2016, is that just sort of a placeholder or do you have certainty as far as the timing of Albertson's that it will be late '16 or that's the best? So trying to understand best guess versus your confident that it's going to be late '16.
Glenn Cohen: Well again, Ray, do you want to talk a little bit about just what you're aware in terms on Albertson's at this time?
Ray Edwards: Hi, Albertson's as you know the S1 that was filed back in last summer was updated in January and will be updated next month when order about financials for our fiscal year end which was the end of February done. So the investors and the company, the management's deal that the best direction for the company, its future growth is to be a public company. You have to time it correctly, but when the markets are in the right place its consideration. Nothing's definite now but we're still focused on moving forward. Company's doing very well, leading the trends on the business. Very excited about the future, obviously some things whether we want to do or not as we show in October it's not necessarily going to be the phase [ph] happen, but they're moving in the right direction to go forward with that. That's what we're basing our reason.
Alexander Goldfarb: Okay, so just to finish then, Glenn, so you guys may need more equity if you don't do Albertson's, but if you do Albertson's then no need for equity. That's the take on?
Glenn Cohen: Again, as I said, Alex, we are monitoring the overall capital plan and we'll do it methodically and opportunistically. Now again, just to clarify the last point of the timing. We're already in the middle of April; there is a 180-day lockout period on day one of an IPO. So you're ready in the fourth quarter and we know it's not happening for a little while longer, that's why my comment that it wouldn't be any earlier than late in the fourth quarter.
Alexander Goldfarb: Okay, thank you.
Operator: Thank you, and the next question is coming from Ki Bin Kim with SunTrust.
Ki Bin Kim: Thank you. Just one more question on Sports Authority, if you don't mind. Your company projects have Sports Authority and the other one HS Craig [ph], but just curious how did those projects or those, that end up in your project, was it just a high renter willing to pay or was it assumption that maybe they were healthier than they seem to at that time?
Conor Flynn: The leases were signed over a year ago. So redevelopments usually take a long time to get entitlement to get going, so these were done at a time where we did a thorough review of their business plan with their CEO, their CFO and held a conference call to see what their plan was. Unfortunately, they missed their plan and they were part of the redevelopment that included, we're doing a brand new Whole Foods at one, we're doing Ross, TJX and others on those other two. So we feel there's plenty of demand for that box going forward in those redevelopments, and we have not given them any tentative approval on any of those site. So we have the flexibility to go back and re-lease those boxes if and when they're rejected and they revert back to us. So at the time they were in Florida which is their primary market where they were the dominant player at that time, and we thought they were the appropriate co-tenant but luckily because of the strength of the other co-tenants of our redevelopments we think that we'll be able to do potentially even better.
Ki Bin Kim: Okay, and let's say you do get to reassign half those boxes, from a practical standpoint even if there's full assignments for half of those boxes, how much downtime is there as maybe comes in and reconfigures the space?
Conor Flynn: It really depends, it depends if they buy the lease. If they buy the lease then there's zero down time, and then we get all the rent back that we reserved for. So on the one that will be rejected, those are the ones that will take some time in terms of lease [ph] build down, building out of the space, and it all depends on what they see with the box. With a single tenant user, you probably can get your right commencement date sooner than if you were to split the box and do a potential multi-tenant pipeline up. So it will really depend on what the highest invest use for that real estate. Some of them might be grocery components on them, might be redevelopments, some of them might be single-tenant users, and then it will just have to come down to what's the best use that we can find.
Ki Bin Kim: And how does it look right now, are they sort of what you said might be reassigned or bought, would they really buy the lease or is there more set for like a retail light fix to just wait it out?
Conor Flynn: Right now it looks like there's going to be plenty of bidders to buy a number of leases from them, so they might view…
Ray Edwards: Conor, it's Ray. I mean the thing is that there are the two big, Ringo Stars both circling the company. So the way to get the store is might be to be buying them through the bankruptcy versus, if brought back and then we could decide which one we want to put in for example. So simply some lively bidding between two major sporting goods stores. They have to be in to happen again, and not wait to see who comes back and try to deal with us.
Ki Bin Kim: Got it. Thanks, man. I appreciate it.
Operator: Thank you. And the next questions comes from Anik [ph] with Capital One.
Unidentified Analyst: Yes. Hi, thanks for taking my question. Is there a role for the plus business in the current retail landscape specifically as it pertains to bankruptcy resolution?
Conor Flynn: Ray?
Ray Edwards: We've always thought that plus business was part of a differentiation of ROE versus others, and it gives us the opportunity through different cycles. We made a lot of money through plus business over the years and it continues to be opportunistic, and with retail being so challenging these days we do think that there may be future opportunities where clearly we're focused on the Albertson's that we currently have and want to create value there before we publicly do anything more.
Unidentified Analyst: Sure, and then just following up on that on the prior comment about who are the bidders for the Sports Authority is, would Kimco sort of consider playing a role in the liquidation of Sports Authority via the plus business?
Conor Flynn: I think at this point in time, probably not. I mean, Ray, you can talk a little bit more.
Ray Edwards: Yes, I mean plus business bankruptcy is where a lot times the retailers own a lot of the real estate and then Sports Authority they own I think one property, actually I am looking at that one, but this is a probably a lease portfolio. You have the users that are the highest bidders for that and the rest was just what this play out. We don't want to chase every deal just to say we're still in the process to make sure it's very profitable.
Unidentified Analyst: Okay, thanks.
Operator: Thank you. [Operator Instructions] The next question comes from Michael Miller with JP Morgan.
Michael Miller: Hi, just want to confirm that partner buyouts, they are included in the acquisition guidance and if so, we're looking to the balance of the year, do you expect more buyouts or to be more skew toward their party acquisitions?
Conor Flynn: They are included in our guidance, the JV Partner buyouts. It will probably be a mix. We like to say we have -- maybe potential JV portfolio buyout but it will probably be more likely where it's just one off situations where similar to an Oakwood and Dania, we go piece by piece and trying to buy individual asset that we can put a little value on.
Michael Miller: Got it. Okay, that was it. Thank you.
Operator: Thank you, and the next question comes from Rich Moore with RBC.
Rich Moore: Hey, good morning guys. Now that you've essentially got everything under contract in Canada, I'm not sure out of it already. Have you had any further thoughts on the bonds that you have up there and whether it's time to do something to get rid of those?
Glenn Cohen: Yes. Hi, Rich, it's Glenn. We continue to evaluate the bonds themselves, although we do have a lot of things under contract, we really would want the capital in hand before we start to make decisions about pulling those bonds. So we have to play it out for another quarter or so. But it's definitely on the table, it's something we're evaluating.
Rich Moore: Okay, is it safe, Glenn, to say that if you do get out of Canada entirely there's no sense to have those bonds stay on, is that right?
Glenn Cohen: I would agree with that. Yes, I think everyone would agree with that.
Rich Moore: Okay. All right, great, thank you guys.
Operator: Thank you, and the next question is a follow up from Michael [ph] with Citi.
Unidentified Analyst: Yes, just two quick ones. Glenn, just on the equity, the guidance if you just take your gross FFO divided by your per share FFO, it's about $419 million average shares. I think you're effectively with the late 1Q and 2Q issuance calling about $418. So maybe to get to the average you may have like $15 million left in your guidance of issuance, is that sort of right and so we should think about anything above that level is having some potential impact diluted of how you use the proceeds?
Conor Flynn: Yes, I mean first of all you have to remember we do have option exercise still from when we're still doing that. So some of that might continue to come in. You have issuances that come from our drip as well, so just a very few point, there's a very, very modest amount that would remain but it's tiny at this point.
Unidentified Analyst: And the goal in terms of tapping the ATM in the quarter was even though you have all these disposition activity was to sort of keep some leverage neutrality as you sort of did Oakwood and Dania. I mean what really drove the $150 million, was it leverage driven, was it stock price driven in terms of the fact that you're about 28, how should we think about the rationale for tapping the ATM?
Conor Flynn: We have a longer term or medium term goal to continuing to reduce leverage and improve those balance sheet metrics. As you know cash can be tangible but if you look at the amount of mortgage that we will retain this year at close to 6%. To take the leverage down with some equity to make some sense for us. So I would say, yes, we kind of earmarked it to us, debt reduction, leverage reduction, less than about the acquisitions because much of the acquisition activity is being fueled by proceeds coming from disposition activity.
Unidentified Analyst: And just last one, Conor, and I may have missed this. But the re-leasing spreads softened a little bit in the first quarter from recent trends, was there anything specific to that impacted average and then I don't know how that translates into what you're starting for the rest of the year?
Conor Flynn: The first quarter definitely has more renewals and options in terms of the total high when you look at the combined leasing spreads so it doesn't weigh on the combined leasing spread, but overall we still feel very confident that we can deliver a high single-digit, low double-digit combined leasing spread going forward. We still think there's lots of opportunities to unlock value and mark-to-market opportunities there.
Unidentified Analyst: Great. Thank you, guys.
Operator: Thank you. And as there are no more questions at the present time, I would like to return the call to management for any closing comments.
Conor Flynn: Thank you for participating in our call today. As a reminder, additional information for the company can be found in our supplemental that is posted to our website. Have a nice day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.